Operator: Ladies and gentlemen, thank you for standing by, and welcome to Imerys First Half 2021 Results Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I will now hand the conference over to the Chief Executive Officer, Alessandro Dazza. Please go ahead.
Alessandro Dazza: Thank you, and good evening to all of you. Thank you for joining us today to review Imerys first half 2021 results. With me here this evening in France, Sébastien Rouge, our CFO. I would like to start by sharing with you a few key highlights of this first part of the year with, of course, a specific focus on the second part of it. Let me start with our capacity increase announced in February for Carbon Black to follow the booming business around lithium-ion batteries and electric vehicles more in general. Construction is well underway, and we are putting all our efforts in speeding up this project as demand is extremely strong and already now above our capacity. Moreover, considering all the recent announcements of new factories for batteries being planned or even built already everywhere in the world. Imerys is evaluating further expansions of this product line in the nearby future. More to come, I would say. In June, we finally because it took long, but we finally started commercial sales of our specialty binders from our new plant in [indiscernible], India, targeting the growing Indian refractory and construction industries, some delay due to COVID, but an impressive work in commissioning these plans entirely remotely from France using augmented reality tools. We successfully issued a €300 million sustainability-linked bond in May, underlying the group's commitment to reducing carbon emissions and achieving our broad sustainability ambitions. The bond was very well received in the market and largely [indiscernible]. After the divestiture of our [indiscernible] activities in March, and I will not come back on this, we just signed an agreement to divest our North American Hydralisk caroline assets, mainly serving the U.S. paper and board markets with annual revenue of USD 76 million. I'm convinced that this market needs consolidation and our assets are best placed with field calling company family-owned business, which will extract the most value from these great assets. At the same time, this move will allow Imerys to continue its active business portfolio management and refocusing on activities and markets, offering interesting growth perspective for the future. Last, a word on our talc litigation. After the proposed plan of reorganization received the necessary majority support from claimants in April, I will not come back on this. We were recently informed that the bankruptcy court has rescheduled again, unfortunately, the final confirmation hearing to mid-November, resulting in a potential final approval of the plan at the beginning of 2022. It's a purely administrative delay independent from Imerys, but still unpleasant. Let's now have a look at a few key financial results. Group showed good commercial performance and benefited from the overall continued recoveries in end markets. Sales reached €2.16 billion in the first half. We posted 17% organic growth for the first half and an exceptional 29% in the second quarter alone. Despite, I would say, a general sanitary situation, which is in certain geographies still difficult. Our current EBITDA improved significantly. It grew 74% in the second quarter and 38% in the first half, leading to an EBITDA margin of 18.6% for H1 above pre-crisis level even, I would say, in the current inflationary environment. Consequently, net current income for the first six months of the year more than doubled to €158 million, compared to 2020. Cash generation at €122 million remains solid, especially considering the strong increase in activity. Sébastien will come back to you with more details on all these figures. If we now move on to Slide number 7, you can see that revenue continued to rebound in Q2 with basically a record organic growth in the second quarter for this group, 29%. Revenue also grew sequentially quarter-by-quarter you see on the graph on the left side, confirming an overall good momentum and good trend. As we will see then on the two following slides, several of our end markets returned to pre-crisis levels, probably even faster than we expected, with the exception of automotive and paper and partly iron and steel, and I will go in details later on. As you can see on the right, we have added a small symbol plus and minus or equal to the pie, which gives you a feeling status compared to 2019 and I will commence in detail when I go through each market. So if we take a closer look at automotive, as you can see here on top of this page, the growth compared to last year is simply, I would say, enormous. But the comparable basis, Q2 last year was really an all-time low. Automotive production is still distant from pre-crisis level, and if we want to compare Q2, 2019, minus 20% in Europe and in the U.S. An important reason for this gap is certainly the shortage of semiconductors or electronic components in general, which caused several productions worldwide to slow down or even close, shutdown EBIT everywhere. We believe demand is healthy, so we do expect good growth in the coming months as production resumes. Iron and steel, at the bottom of the page, posted good growth in the quarter everywhere and is almost back to 2019 level on a worldwide basis. But pulled by strong increases in India and in China mainly. Europe and North America are still today below pre-crisis level. The expected rise of automotive production together with strong construction market, should help in our opinion, the steel sector to fully recover in all geographies in the nearby future. If we look at construction, markets enjoyed accelerated recovery, especially in Europe and North America and are today above 2019 levels. We further boost is expected in the nearby future, especially if the infrastructure program in the U.S. in discussion currently, is launched. If we look at paper, after the first positive signs of recovery in Q1, and you may recall, we discussed it in our previous results meeting. Paper markets, in general, have rebounded in Q2, also in Europe and in the U.S. Further recoveries also expected for the rest of the year due to stronger industrial activity and travel recovery. Still, we are distanced from pre-crisis levels, with a drop compared to 2019, which can be estimated at around 20%. Not shown here, but a few words on the remaining markets, consumer goods, that's coming back to pre-crisis levels, thanks mainly to the end of confinement in most countries; and industrial, which is clearly picking up on the back of the good general economic activity. I now hand over to Sébastien to review more in detail interim results.
Sébastien Rouge: Thank you, Alessandro. Good evening, everyone. Let me walk through some of the key aspects of our first half and second quarter financial performance, and we will start with revenues. Sales reached out €2.16 billion in the first half, reported up 13.6%. This corresponds to a 16.7% organic growth versus H1 last year, mainly driven by €276 million volume increase. As highlighted, we maintained a positive 1.5% price mix which represents €27 million positive contribution to revenues for the period. For Q2 only, price-mix was up 2.6%, thus accelerating versus the first quarter. The revenue also includes a still significant negative currency effect of €83 million, this mainly reflects the depreciation of U.S. dollar against the euro as compared to H1 last year. The €38 million perimeter effect that you can see on the slide is the net positive effect of the recent bolt-on acquisition. As [indiscernible] in Turkey, Cornerstone in the U.S., Sunward Refractories in Taiwan and [indiscernible] in India, as well as the disposal of Caroline operation in Australia. If we look now into more detail at our two business segments and their respective markets. Starting with Performance Minerals. This segment generates 56% of the group's turnover, with global sales of €1.2 billion in the first half of 2021. All regions saw an improvement of the trend in H1 with like-for-like revenues up 16.6% versus Q2 '20, which was, for us, the peak of the crisis, organic growth was plus 27.7%. All geographies suffer from logistic constraints, in particular shipping container unavailability. Americas is, for us, the most severely impacted, in particular for its export activities, and this created a significant order backlog. If we look at the applications, filtration and life science markets performed well. Ceramics and construction-related markets continue to be dynamic and returned to their pre-crisis level. Despite a strong upturn, automotive, which continued to suffer from global semiconductor availability issues and paper markets, remain below end of 2019 levels. Reported under Asia Pacific, we continue to benefit from outstanding growth on our graphite and carbon activities, in particular for mobile energy. As Alessandro reminded, the group has launched a capacity expansion to support the growth of these major automotive battery players. Looking now at our High Temperature Materials & Solutions, our second business segment totaled €962 million in the first half of 2021, representing 44% of Imerys' consolidated revenues. This business segment was more severely suffering from the weakness of its market 2020. That's why in the first half of the 2021, the recovery is now really visible with 16% organic growth, thanks in particular to a very strong Q2 with sales being up 29% year-on-year. This business benefited from a strong global rebound of refractories and [indiscernible] for industrial equipment, especially in Q2 and further growth in Building and Infrastructure. In India, where the recovery was particularly strong in all markets, our new greenfield plant in Visak continued its ramp up and now serves the dynamic domestic refractory markets. Now how does it look like in terms of profitability for the group as a whole. Current EBITDA for the first half of '21 reached €400 million, up 38% year-on-year. This evolution reflects a strong volume contribution of €139 million with an average ratio on sales of around 50%. We have also a positive perimeter effect of €8 million, mainly due to the bolt-on acquisition and listed, which performed above expectations. We have a continued positive price-mix plus €12 million as well as almost stable variable costs. It's important to note that is in this inflationary period, we noticed some price up, but they were offset by the savings related to purchasing initiatives and I-Cube Industrial Excellence program that we continue to drive. We note an increase of €36 million of fixed costs and overhead needed to sustain the increase of our activity. Currency has a negative impact of €22 million. As a result, current EBITDA margin improved significantly from 15.2% in H1 '20 to 18.6% in H1 '21. One important point of comparison that we wanted to highlight is also the comparison towards 2019. We are now better than the pre-crisis level. A combination of positive factor gives the strong -- gives the group a strong operating leverage. The positive effect of cost reductions that took place in 2019 and '20. The ongoing discipline in price-mix enables Imerys to take full advantage of the volume recovery. Imerys EBITDA has rebounded in the first half of the year exceeding 2019 level both in absolute terms and in percentage of sales. If we come back now to 2021 and the rest of our income statement, the increase of current EBITDA in absolute terms drives the sharp increase of current operating income. Net financial result was negative at €18 million in the first half, below last year level, mostly thanks to change emerging impact. Income tax of €71 million corresponds to an effective tax rate of 27% to be compared to 28% in the first half of last year. Net income from current operations thus more than doubled since last year, reaching €158 million. Finally, net other operating income and expense booked were very low at €16 million in the first half of 2021. Net income from current operations per share then also doubled as compared to last year at €1.87. If we look now at the operating cash flow generation, we report a solid current free cash operating cash flow of €122 million, thanks to disciplined working capital management in a recovery phase. This figure includes €143 million impaired capital expenditure out of them, 116 or new CapEx booked this year, a €63 million increase in operating working cap compared to December last year due to the strong increase in activity. You will notice by looking at the detail of our balance sheet that our operating working capital as compared to the revenues is significantly lower than the one of June '20 and even lower than in December 2020. If we look now at the structure and the impact it has in our strong financial structure, you see that our strong operating cash flow generation has enabled us to maintain a level of debt very close to the one at the beginning of the financial exercise. And that thanks to the sharp increase of EBITDA of our leverage has improved starting from 2.4x EBITDA. Our net debt is now at 2.1x the last 12 months EBITDA. On this note, I'll give the floor back to Alessandro.
Alessandro Dazza: Thank you, Sébastien. A conclusion on my side, you see on this last slide. I would like to say the group Imerys is confident that business will remain strong in the coming months and probably quarters. Demand for our specialty minerals solutions will continue to grow at a good pace throughout the rest of the year, driven by our efforts, commercial efforts and by general economic recovery in all segments and geographies and important by low inventories. In this context, and of course, assuming no deterioration in the sanitary situation or the macroeconomic environment, Imerys expects targets to reach revenues of €4.2 billion for the year 2021 and a current EBITDA margin close to 18%, therefore, above 2019 levels. This outlook reflects the group's confidence in continued organic growth and our ability to deliver on cost savings and in this inflationary environment on a positive strong price-mix. All of this, of course, in a responsible and durable way. Thank you, and I do open the floor to questions. We see a message that someone has questions, but we're now to deblock the microphones.
Operator: [Operator Instructions] We have our first question from the line of Sven Edelfelt from ODDO.
Sven Edelfelt: Congratulations for this nice performance. I would have three questions, if I may. The first one is on the talc litigation. Is there -- what are the real risks behind this asbestos litigation, in fact, is there a mean that a legal action of any kind could push your subsidiary out of Chapter 11. And to what extent your expert partner can delay the appending that we all are looking forward. It has been a few quarters since has been delayed. To what extent this could last in your view. It was supposed to be early 2021 -- early 2020, early 2021. Could that litigation be delayed to 2023? I don't know. And the second question would be on the Caroline business. I appreciate you sold some U.S. assets. Can you tell us, is there -- if there is more to come or if you feel happy with your current footprint now? That's the second one. On the third one would be on the restocking effect in your industrial activities. I understood this segment is above 2019 level. So have you seen any restocking effect on that front?
Alessandro Dazza: Thank you, Sven, and thank you for the congratulations, which we happily take because I do agree that Q2 was definitely a very strong quarter for this group. On talc, as I said, it's an unpleasant delay because -- especially because it is not in the merits, nothing to do with the reorganization plan as such. It has nothing to do with the money involved as such, and it has nothing to do with Imerys. The judge -- the hearing was planned for August has been delayed to October because of a casual time and now to November because the judge has too many audiences and does not believe to be able to listen to all the depositions and all the documents filed until then. The good news is that these depositions are ongoing last week, this week and for the coming weeks, there are a lot of deadlines, which are taking place. So we remain confident that this delay is hopefully the last one or not significantly longer than this. There is no security until the audience, the hearing takes place. that's unfortunately the fact. But once again, there is no discussion in the merits in the condition in terms of this plan for the time being. I don't think there is any -- and I will check, but I don't think there is any legal form or way that an entity is out of Chapter 11. This is locked in and it will be decided by the court after the hearing. So there is, in my opinion, no way back, but I reserve to check it because it's a question that I've never heard. And our ex-partner, I suppose you mean Johnson & Johnson. They have chosen to defend the right in court. They are doing it. They are continuing. There have been recent news on the subject. They even admitted that they are considering filing Chapter 11 for their cosmetic business. It's a new -- very new. It's really met a few days ago. Even this would not change in any form our process because their Chapter 11 in case they go down that road, will be a completely independent process. On the contrary, probably it could even help speed our own because Johnson & Johnson would not be part anymore to ours, but they will go the wrong way. But for the time being, it's only a bit more than rumors because there are confirmed information, but to be seen. The fact that -- to finish the fact that depositions are going. Discovery is being made and so on makes me optimistic that there should not be significant delays anymore. And hopefully, none at all. November, the date is set for the 16th, I believe, it will take a few days of hearings. And then within a few days, again, we should have a decision. So we remain confident on beginning of 2022. But once again, we were hoping in summer of this year, and we are in summer and we are not there yet. That's the best I can tell you. On Colin, your second question, I think it's an important move. This is one of the historic assets of this group, getting back to probably English China Clay, so more than 20 years. an asset that has been shrinking over time, suffering from competition, suffering from a decreasing market that of paper since many years. And from a competitive point of view, probably one of the least performing. That's why I think this move is important. This business, especially in mid-U.S.A., needs consolidation. And we are glad that Field Colin Company decided to make this move, consolidate, they will become locally the largest player in these markets, which is good for these assets and for this business, and we wish them really the best. For us, it allows us to focus our energies and the proceeds out of this divestiture on other businesses that we believe today will offer more growth to the group. And therefore, we are happy of this move. Is it the last or only one. We continue to review our portfolio. We make calls. We allocate our money. And every day, we analyze what's best for the group. So we'll continue to do so in the near future. with confidentiality and therefore, I stop here, but we do review our options really every day. Last one is on restocking. If there is a market where I have seen a bit of restocking is maybe in automotive, but not because it was a wish, but simply because production lines at our end users. So carmakers to be simple, they have to stop. So we have seen around May, June, a light slowdown on certain minerals for polymers for cards, simply because the OEM makers had to stop their own production because carmakers cannot take the components. They have to stop themselves. I think it's temporary. On the contrary, the order intake for the second half of the year in the automotive sector is extremely, extremely strong. The demand is healthy. I don't know, I have managed to go to the U.S. three weeks ago after a long time. You drive by a dealer in the U.S. when if you've been there, you might know what I'm talking about. When you go to a dealer, a car dealer in the U.S., there are hundreds, hundreds of cars. You walk in, you choose your car and you drive out. That's the way the market works in the U.S. In Europe, you go to the dealer, you order on paper and on a computer and three months later, you get your car. When you go today to a dealer in the U.S., the parking lot is empty. They have nothing to sell. So today, there is an incredible backlog of orders. So that's why we do remain very confident in this market, even if it is not yet at 2019 levels. For the remaining markets today, we do not see any buildup of inventories simply because they are still catching up, and logistics is not helping. So no real restocking effect. And if I look at our own inventories, as Sébastien pointed out, in percentage to sale, even dropping because we wish to build a bit more safety stock, but at the moment, it's not possible. We just deliver everything we can to very hungry customers. I hope I've answered.
Sven Edelfelt: Just a follow-up on the [indiscernible].If Johnson & Johnson go to Chapter 11 for this entity, [indiscernible]. Does that mean you will stop delaying your own process? Is it the right way to look at it?
Alessandro Dazza: I don't know the two things, as I said, would run fully independently one from the other. And therefore, Johnson & Johnson might continue to do objections or a position to our own process, difficult to guess how their strategy would be in such a case. I really cannot, I really cannot. I don't know. I really don't.
Operator: We have the next question from Lefevre-Moulenq from CIC Market Solutions.
Jean-Christophe Lefèvre-Moulenq: I have only one question on the most cyclical business line, which posted an EBITDA margin of 14.6%, probably thanks to Abrasives. Abrasives is a very profitable business. Could we exceed this level over time as Abrasive some competitors post EBITDA margin of roughly 20%? Is that possible to strongly exceed this level of 15%? Thank you so much.
Alessandro Dazza: I would say, we don't normally give figures on single separate businesses. I would say this all business area or segment of the group, both the materials and the downstream refractory solutions posted excellent growth and really a very strong rebound in EBITDA and profitability. Abrasive, as you say, as you've correctly mentioned, is a strong component of this business. But I would like to remind you that also our specialty binders, which comes within this RAC, refractory-based construction, so more on the construction side. It's an extremely profitable business. And what is good, it's growing rapidly, penetration next to the, let's say, general trend in the construction market is a product that finds more and more applications. Therefore -- that's why we say more penetration within a growing market. So strong performance next to strong growth. It's for us me one of the pillars of the future of this group. So it's not only Abrasive's doing well. There are other businesses doing well and on top of growing rapidly as we have said at the end in our outlook, we do count on doing better than last year and '19, and we have promised to do better in 2022 than 2021. And we do count on the contribution of all businesses doing better. So the answer at the end is yes. I expect them to follow even better growth going forward. And last, in this field, you have refractory minerals within RAC, Refractory Minerals that is to -- because of the iron and steel catch-up is one of the large businesses that is still on a strong recovery. So more to come rather than good behind. It's a business sensible to volumes because of high fixed costs, therefore, it's a business that when volumes recover, normally, profitability recovers rapidly. We're confident in the future.
Operator: We have the next question from the line of Benjamin Terdjman from Kepler Cheuvreux.
Benjamin Terdjman: I just have one question. It's about your variable costs. So when I look at your Slide 22, it seems like the impact has been limited on your results. So what do you expect for the H2 because obviously, the comps will become harder? And do you still expect the -- of course, the price mix to remain ahead of this increase in variable costs? And if yes, what would be the magnitude?
Alessandro Dazza: Good evening, Benjamin. And thank you for the question. Before I answer to your question, I would like to make a couple of comments. There were assumptions that our profitability would suffer from the inflationary environment. And being shy maybe on pricing in the first quarter. I think these results show that we have done a good job on variable costs. We have been fighting hard to defend our position with savings, with good contracts, with good hedging in some cases. And what you see on the slide on the screen, so let's say, even positive variable costs is definitely a great achievement. At the same time, and ahead of the impact that I will comment later on. We have started working on pricing. First quarter price-mix increased second quarter 2.6%. So we have clearly stepped up our -- or accelerated our efforts to put pricing into the market. This trend will continue. We continue to push. We need to do this because exactly as you say, variable costs, the impact of the increase in variable costs in general, is coming through more and more, and we will see this effect unavoidably in the second half of the year. Probably energy is one of the big items. I see logistics coming to a peak. -- raw materials, some reaching probably plateau, some still on growth trends. So we will see an impact. We have quantified it as well. But I'm very glad to see that we a are step ahead with our pricing. So once again, as we always say, what is important is the balance of what it cost you and what you recover. And on that one, I'm not afraid looking at Q3 and Q4 and therefore, H2.
Operator: We have the next question from the line of Mourad Lahmidi from Exane BNP Paribas.
Mourad Lahmidi: Actually, my question was on variable costs. So it was already asked by the previous analysts. But let me follow up on this one. So you kept the variable cost in Czech during Q2, only an increase of €1 million. I was wondering how much of that comes from the fact that some of the cost of goods sold were still in inventories embedded in your inventories? And how much comes from real savings?
Alessandro Dazza: Mourad, your question is to the point, I don't have the answer, and I don't have the numbers and answer thing. I don't think we have the numbers exactly how to split the effect. But certainly, you're right, on certain raw materials, you have an inventory effect. What you bought last year at reasonable prices is still going through. We don't have six months inventories. So this effect is, for sure, long gone, but it might have helped, for instance, in Q1. Logistics goes through also relatively rapidly. But you're right, we -- and that's why I'm saying, we will see a negative impact on variable costs in H2, for sure, less than probably people have expected because we are fighting through purchasing, through savings to defend it. And I can give you, to be fully transparent, I can give you a few figures. We expect at least €60 million to €70 million extra costs compared to what we have estimated at the beginning of the year. If you do it -- if you do the math's easily on €4 billion sales, we are talking about 2%, slightly below 2%, 1.5%. So that's what we target to recover. And then if you look at what we have been doing so far, I think we are very well underway not to suffer from this inflation.
Mourad Lahmidi: Okay. Great. And in terms of sequence, do you see inflation picking up in Q3? Or have you already seen that inflation pick up. For instance, you talk about logistics and transport, where we have seen a tremendous increase. Is it behind or still ahead of you guys?
Alessandro Dazza: We have done a lot of studies in the last, I would say, three, four weeks on the current situation. On logistics, we believe the peak has been reached. We do not see currently any further request for increases, which is a good sign. On energy, on the contrary, there is still a growth trend. Maybe oil recently stopped but in general, there is, on electricity and on other forms, we still see a bit of trend. Raw materials, chemicals and similar, to a large extent, we see an inflection. So we see the peak as being achieved. Some raw materials that were a bit behind in the cycle might still, but it's the minority. So we do see a plateauing in principle. It doesn't mean it's going to go down soon. Personally, I believe you will continue at a stable level before we see a decrease because demand remains strong as we see it from our customers, our suppliers see it on our side. So that's more what we believe, a certain stability at a high level for the coming months. I hope that logistics, which is today a big issue and distorts a little bit the balance, the logistics finds itself a balance and that really, we go back to a normal supply chain situation because that could release the pressure, in my opinion, on costs.
Sébastien Rouge: Maybe one thing that we can add to make sure that we understand the impact on our P&L, when Alessandro explained that we are at the peak for logistics, for example, that's true on spot prices. On the other hand, we have taken advantage of midterm contracts in our P&L for the first half. So we have somewhere delayed the impact of the increase in our P&L. So even if the spot price stays stable as Alessandro said, that we will have any way have a P&L pressure in the second part of the year.
Mourad Lahmidi: Okay. And when you say €60 million to €70 million extra cost compared to what you anticipated at the beginning of the year, that means that the headwind of 2021 will be €60 million to €70 million or more than that?
Sébastien Rouge: Probably the headwind comparing year-on-year would be a little bit higher than this one. But anyhow, we have to factor also what kind of price up that we have factored. The recent that we use internally is against our own baseline for the forecast. So there is probably a bit -- when we look strictly year-on-year, a bit of additional pressure that we'll see.
Alessandro Dazza: This is before any actions. This is the net negative impact we see.
Mourad Lahmidi: And on the pricing side, so have you set the new pricing window for the rest of the year? Or are you planning to increase prices on a quarterly basis now rather than an annual basis?
Alessandro Dazza: Quarterly basis maybe is excessive, but we have gone to the market to rediscuss prices. And then it really depends. We have -- we do not depend on few customers or on a few markets. So it is really a one-to-one negotiation. There are quarterly agreements, six months agreement year-end agreements. There are surcharges. Logistics, for instance, has pushed us to us for a surcharge. So it is strictly related to the extra cost of, for instance, containers. It might go up or down if prices of containers move up. So I don't think we can do a rule out of it. It's really market almost by market and by customer.
Sébastien Rouge: Yes. And I think that one strength of the group to be able to adjust actually that market by market, geography by geography to make sure we are not squeezed. And on the other side and make sure we maintain long-term relationship with our customers. So that's -- and you remember, we had seen that with some kind of historic graph, the ability of Imerys to maintain a position in an inflationary or deflationary period, and that's really an underlying strength of the group to do so. Just one point also not to forget when we were speaking about cost increase, do not forget we have also cost reduction plans that in spite of the environment continue to deliver. So both in industrial, variable cost and even in purchasing, where we still have the fruits of the plans that we have launched two years ago. So also that's to be taken into account in the equation.
Operator: [Operator Instructions] We have one question from Lefèvre-Moulenq from CIC Market.
Jean-Christophe Lefèvre-Moulenq: Additional question, a follow-up question. regarding this headwind of -- in the range of €50 million to €70 million. It is for the second half, this is the prediction?
Alessandro Dazza: I would say it is more for three quarters rather than first quarter was quite spared by this inflationary trend I would say, from March on, we saw inflation kicking in, and this estimation is based on the impact on the year which at the end means on three quarters, if you wish. The first quarter was still quiet. It's the impact for the full year.
Sébastien Rouge: But yes, that was a yearly projection. So part of it is already...
Alessandro Dazza: Part of it is behind us, yes.
Jean-Christophe Lefèvre-Moulenq: Okay. Okay. And the majority of this surcharge stems from logistics and energy. Is that correct?
Alessandro Dazza: Half of it is logistics, to be precise. Pretty much exactly 50% is relating to logistics, followed by energy and raw materials.
Operator: We don't have any other question. I will hand back over the conference to Mr. Dazza.
Alessandro Dazza: Perfect. Thank you very much for dedicating time tonight. And I wish you a good evening or a good day for the ones on the other side of the ocean. Thank you very much. Goodbye.
Sébastien Rouge: Thank you. Good evening.
Operator: This ends the conference for today. Thank you for participating. You may all disconnect.